Operator: Good afternoon. My name is Devon and I'll be your conference operator for today. I would like to welcome everyone to the KB Home 2018 Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the company's opening remarks, we will open the lines for questions. Today's conference call is being recorded and will be available for replay on the company's website, kbhome.com through February 9th. Now, I would now like to turn the call over to Jill Peters, Senior Vice President, Investor Relations. Jill, you may begin.
Jill Peters: Thank you, Devon. Good afternoon, everyone. And thank you for joining us today to review our results for the fourth quarter of fiscal 2018. With me are Jeff Mezger, Chairman, President, and Chief Executive Officer; Jeff Kaminski, Executive Vice President and Chief Financial Officer; Matt Mandino, Executive Vice President and Chief Operating Officer; Bill Hollinger, Senior Vice President and Chief Accounting Officer; and Thad Johnson, Senior Vice President and Treasurer. Before we begin, let me note that during this call, items will be discussed that are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future results and the company does not undertake any obligation to update them. Due to factors outside of the company's control, including those detailed in today's press release and in filings with the Securities and Exchange Commission, actual results could be materially different from those stated or implied in the forward-looking statements. In addition, a reconciliation of the non-GAAP measures referenced during today's discussion to their most directly comparable GAAP measures can be found in today's press release and/or on the Investor Relations page of our website at kbhome.com. And with that, I will turn the call over the Jeff Mezger.
Jeff Mezger: Thank you Jill. Good afternoon and Happy New Year to all of you. We produced solid results in 2018, as we continued to increase our scale, expanding total revenues to over $4.5 billion. We also significantly improved our profitability. We grew our operating margin by 120 basis points to 8.3% within our returns-focused growth plan’s 2019 target range, and expanded our gross margin to just above 18%, excluding inventory related charges for each metric. As a result, we increased our pre-tax income by 27% to nearly $370 million, and excluding the accounting charges related to the federal tax legislation, we delivered return on equity of 14.4%, a 440 basis point improvement as compared to the prior year.  As we review our results relative to the guidance we provided prior to the start of our 2018 fiscal year, we finished the year stronger across most of our key financial metrics, including both operating and gross margin, SG&A, ROIC, and ROE. Overall, this past year reflected solid execution on our three year, returns-focused growth plan and achieving or exceeding most of our targets under the plan by the end of year two. Specific to the fourth quarter, our results were consistent with the update we provided on November 14, with some lift in operating and gross margins. During the quarter, we grew our earnings per share by 14% to $0.96 on revenues of $1.3 billion. With our increased profitability in 2018, along with more efficient utilization of our assets and monetization of our deferred tax assets, we generated significant cash from operations. We continued our balanced approach to allocating capital, investing approximately $1.9 billion in land acquisition and development, retiring $300 million of our senior notes, and repurchasing $35 million of our common stock, representing 1.8 million shares in late November. And we still ended the year with a healthy cash balance of roughly $575 million and over $1 billion in total liquidity. With respect to our share repurchases, we took an opportunistic approach to buying back our stock with our equity at that time trading roughly 20% below our book value of $24 per share. Overall, the strong cash flow our business produced drove a significant decrease in our net debt to capital ratio to 41.6%, solidly within our recently reduced target range of 35% to 45%. From a macro perspective, the favorable factors supporting housing demand remain in place. The economy is expanding, consumer confidence is high, employment is strong, wages are growing, and household formation is increasing. Alongside these positive factors, the supply of existing homes remains low at 3.9 months nationally and below that level in many of our markets, and single family housing starts for 2018 will once again be well under the long-term annual average. Taken together, these dynamics give us reason to remain encouraged even as heightened affordability pressures, which we are working to address are contributing to the pause by consumers on purchasing homes. Our net orders improved a little relative to the mid-quarter update we provided on November 14 ending the quarter down 12%. Our net orders were impacted by the timing of community openings with more than 60% of our openings occurring in November, a point in the year where we don't typically see strong sales activity accompany the grand opening. That said, we continue to see a solid level of interest in homeownership as traffic levels in our communities in the fourth quarter held steady year-over-year. We're seeing buyers taking their time with the process, making multiple visits before committing to a purchase. On a per community basis, our net orders were 2.9 per month in the fourth quarter. For the full year 2018 our average absorption pace increased to 4.1 per month as compared to 3.9 per month in the prior year. Our net order value for the fourth quarter of $738 million was influenced by both a mix shift away from the West Coast and within this region a geographic shift to the lower priced inland markets. As a result, while our earning backlog was down 7% in units, our backlog value of $1.4 billion was down 14% year-over-year. Heading into the new fiscal year, traffic levels in our communities remain steady. However our net orders were off to a slower start in the month of December, down 97 units or 15% year-over-year. December is typically our slowest selling month, and this year it is also one of our most difficult comparisons given the unseasonably strong net order activity we generated in the prior-year period. In light of this continued market uncertainty, we are only providing guidance for the first quarter of 2019 today, which Jeff will address in a moment. As to community count with a sequential increase in our ending count in the fourth quarter, we reached a turning point in our average count, which was up slightly year-over-year. This, together with our planned openings in the first half of 2019, have us well positioned as the spring selling season begins. We continue to expect between 10% and 15% growth in our average community count for the full year. In an effort to address affordability pressures, we've taken proactive steps to reposition our product offerings in many of our open communities as well as our 2019 grand openings. The flexibility of our business model is an advantage as it allows us to move with demand at a fairly rapid pace in order to have the most compelling products in place for the spring. We are adding smaller square footage plans selected from our existing plan series in most of our communities and repositioning numerous model parts to demonstrate these more affordable homes. In addition, we are also lowering the specification levels for our standard features within many of our communities. These spec-level changes don't necessarily require modifications in the models. Instead, we can utilize our design studios to showcase both standard and optional items. Our repositioning efforts expand the choices available to buyers in moving across the square footage band, and in selecting options in our design studios that they value most and can afford. Although we expect these shifts to moderate our ASP, we believe that we are making the appropriate adjustments to respond to home buyers needs and preferences. Moving on to the market updates. In the West Coast region, where our net orders were down 21%. The inland areas held up relatively well as we’ve produced favorable net order comparisons in both the Inland Empire and Central California. However their growth was more than offset by a net order decline in the Bay Area, which accounted for the majority of our company's fourth quarter decrease in net orders. We continue to experience delays in getting new communities opened in the Bay Area and as a result this division was impacted by a significant reduction in average community count of more than 40% year-over-year, down to only eight active communities at the end of the fourth quarter. In addition, with the Bay Area having sold through most of its higher ASP communities, in the range of $1.3 million to $1.8 million earlier in the year, we experienced a decline in the Bay Area net order ASP to $800,000 from $931,000 in the year ago period. While this business is well positioned for today's market environment, the combined effect of having fewer open communities and lower ASPs in those communities impacted our net order comparisons for the West Coast region. It is worth noting that we saw year-over-year price appreciation in the Bay area communities that were started in the fourth quarter of both years, an indication that there continues to be strong demand at the lower price. Looking ahead to the first half of 2019, we are anticipating a sizable increase in grand openings in the Bay area significant enhancing its community count by the second quarter of this year relative to year-end 2018. In our Southwest region, Las Vegas continues to be a solid market for us, with an absorption pays per community in the fourth quarter of just under five per month, the highest rate companywide. In 2018, this division grew into our largest in terms of annual deliveries, and it is an increasingly important contributor to our overall results given its profitability. Inspirada our master plan in Henderson, we're selling five different product lines, which combined generated nearly 500 deliveries last year. This community is also the side of our KB Project concept home, which we unveiled this week in conjunction with the Consumer Electronics Show. The full scale concept home has already received significant media attention for its innovation in showcasing how smart and sustainable technology can be used to offer convenient and wellness features to homebuyers. And while the Project Home is future oriented, we are planning to offer certain wellness features from this home as options in select communities in California later this year. In Phoenix, while we were impacted by a sizable decrease in community count in the fourth quarter, demand was solid, driving an increase in absorption pace. With close to 10% of our company's grand openings this year planned for Phoenix, we're looking forward to expanding our business in this market, one that has experienced healthy population and job growth. In our Central region, our net order shortfall was primarily driven by our Colorado division, which was impacted by the timing of new openings during the fourth quarter and by a decline in community count. However, we expect to see meaningful growth in community count in this division by the end of 2019. Colorado is a market that has experienced significant price appreciation, with a median new home price of roughly $480,000 and a median retail price of $415,000. Our product offerings in this market are well positioned given our ASP of about $470,000 below median new home prices and at a reasonable premium to an older less efficient resale home. We expect our ASP in Colorado to move down in 2019, as we open new communities at lower price points reflecting our product shifts. Wrapping up the market updates. Net order value grew 20% in the Southeast region and a 10% expansion and net orders, with every division producing a positive net order comparison, a solid end to a year of improving performance in this region. We look forward to continuing to increase our scale and profitability in the Southeast. In closing, we believe we are well positioned for 2019. The impact of our returns focused growth plan is now clear, as we have significantly expanded the scale and profitability of our company, while strengthening our balance sheet. We have a growing community count, featuring product that is positioned to maximize affordability for the consumer and we have a talented team of employees that continues to execute our plan. In addition, with the recent decline in mortgage rates, we remain optimistic for the spring and the year ahead. We look forward to updating you on our progress as the year unfolds. With that, I'll now turn the call over to Jeff for the financial review. Jeff?
Jeff Kaminski: Thank you, Jeff, and good afternoon, everyone. We are pleased with our solid 2018 performance as we generated improvement in virtually all of our key financial profitability metrics along with a meaningful strengthening of our balance sheet. I will now review highlights of our financial and operational performance for the 2018 fourth quarter and full year, as well as provide our outlook for the 2019 first quarter. Given the current volatility and market conditions ahead of the critical springs telling season, we are not reaffirming or providing 2019 full year guidance at this time. In the fourth quarter, our housing revenues were down 4% from a year ago to $1.3 billion, reflecting a 1% increase in homes delivered and a 5% decline in the overall average selling price of those homes. As we mentioned during our November conference call, our fourth quarter housing revenues reflected headwinds from the historic rains experienced in Texas and fewer than anticipated spec sales and deliveries in the quarter. However, despite these fourth quarter headwinds our full year housing revenues of $4.5 billion were up 4% year-over-year, primarily due to a 4% increase in homes delivered.  Looking to the 2019 first quarter, we expect to generate housing revenues in the range of $800 million to $860 million. In the fourth quarter, our overall average selling price of homes delivered declined 5% to approximately $395,000. This decrease was primarily due to a shift in geographic mix with a smaller proportion of deliveries coming from our higher priced West Coast region. For the 2019 first quarter, we're projecting our overall average selling price to be in the range of $375,000 to $385,000. Homebuilding operating income for the fourth quarter totaled $121.9 million compared to $131.9 million for the year earlier quarter, including total inventory related charges of $9.1 million in the 2018 quarter and $7.1 million a year ago. Excluding inventory related charges from both periods, our operating margin was 9.7% for the current quarter and 9.9% for the year earlier quarter. For the 2019 first quarter, we anticipate our homebuilding operating income margin excluding the impact of any inventory related charges will be in the range of 3.4% to 4.4%. Our 2018 fourth quarter housing gross profit margin was 18.1%, including the $9.1 million of inventory related charges. Excluding the impact from these charges, our gross margin for the quarter was 18.7% compared to 18.6% for the same quarter of the prior year. As a result of reducing our outstanding debt and growing our unit deliveries, we have steadily decreased the level of incurred interest per delivery over the past several years to just $13,000 -- $13,200 per unit delivered or 3% of housing revenues in 2018. In turn the lower levels of prior period incurred interest combined with the widening spread between active inventory and total debt have reduced our amortization of previously capitalized interest generating improvement in our housing gross profit margin of 80 basis points for the 2018 fourth quarter.  Assuming no inventory related charges, we are forecasting a housing gross profit margin for the 2019 first quarter in a range of 16.6% to 17.2%, reflecting the typical seasonal first quarter decrease in operating leverage from lower revenues, partially offset by lower amortization of capitalized interest. This first quarter range also now reflects the anticipated impact from the implementation of ASC 606, which will result in the reclassification of certain expenses previously included in construction and land cost to selling, general and administrative expenses. Our selling, general and administrative expense ratio of 9% for the fourth quarter was up 30 basis points from last year's record low fourth quarter result, reflecting increased marketing expenses to support new community openings that are driving our expected community count expansion in 2019. We expect our 2019 first quarter SG&A ratio to be in the range of 12.7% to 13.5%, reflecting the decrease in operating leverage from lower revenues, additional marketing expenses and the ASC 606 reclassification mentioned earlier. Moving on to taxes, our income tax expense of $32 million for the fourth quarter was predominantly a non-cash expense due to our deferred tax assets and represented an effective tax rate of approximately 25%. We currently expect our effective tax rate for the 2019 first quarter to be approximately 27%. Turning now to community count, our fourth quarter average of 232 was up slightly from 228 in the same quarter of 2017. We ended the year with 240 communities, up 7% from a year ago. Of the 240 communities 34 communities or 14% were previously classified as land held for future development, compared to 41% or 18% at the end of 2017. On a year-over-year basis, we anticipate our 2019 first quarter average community count will be up in the range of 6% to 10%. For four year 2019, we continue to expect growth in our average community count in the range of 10% to 15%. During the fourth quarter to drive future community openings we invested $443 million in land, land development and fees, with $184 million or 42% of the total representing new land acquisitions. We ended the year with $574 million of cash and total liquidity of just over $1 billion, including availability under our unsecured revolving credit facility. We generated $222 million of net operating cash flow in 2018 after investments of nearly $1.9 billion in land acquisitions and development. Our investments in 2018 improved our land pipeline to nearly 54,000 lots, driving expected community count growth in 2019, while we reduce our inactive inventory by nearly $140 million to $238 million at year-end or 7% of our total inventory. In addition, we used internally generated cash to opportunistically repurchase $35 million of common stock in the fourth quarter and retire all $300 million of our 7.25% senior notes earlier in the year. Our current year profitability and deleveraging activities resulted in a 500 basis point year-over-year improvement in our year-end debt to capital ratio to 49.7% the first time that we have been sub-50% since 2005. In addition, we ended the year with a net debt to capital ratio of 41.6%, representing a 380 basis point improvement and our lowest year-end net leverage ratio since 2007. These metrics reflect the achievement of one of the key components of our returns focused growth plan using significant cash flow generated from core operations along with monetizing our deferred tax assets and inactive inventory to reduce debt and at the same time increase land investment to drive future growth. We plan to continue with this approach and are targeting a minimum of $200 million of debt reduction in connection with the 2019 maturities of our convertible notes, and 4.75% Senior Notes in the first half of the year. Reflecting on 2018, we made significant progress in our returns focused growth plan objectives. For the full year, we increase our total revenues to over $4.5 billion and grew our housing revenues and deliveries by 4% with an average community count that was 4% lower than in 2017. We also expanded our operating income margin and significantly improved our credit metrics, reflecting both our increased profitability and our debt reduction using internally generated cash. In addition, excluding the non-cash charge for the impact of the new Tax Act our return on invested capital expanded by 300 basis points to 10.4% and our return on equity improved by 440 basis points to 14.4%. In 2019, we plan to continue executing on our roadmap for returns focused growth as we navigate market conditions. Our long-term objectives remain the same with a focus on increasing our scale, improving our profitability, increasing returns and reducing our leverage.  We will now take your questions. Please open the lines.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes on line of Alan Ratner with Zelman & Associates. Please proceed with your question. 
Alan Ratner: Hey, guys. Good afternoon. Thanks for taking the questions. First question, I was hoping to dig in a little bit on some of the initiatives you're taking on the product offering to try to drive down the ASP there. I was curious if you might be able to quantify at all what impact that could have either on margins, on price, on sales pace. I mean, how impactful should we anticipate this being obviously just given the 1Q guidance, but is this something that's going to drastically change kind of the way the year and even beyond unfolds?
Jeff Mezger: Yes, Alan I wouldn't say it's going to drastically change anything that's -- to me that's too tough a word. What we're doing is reacting to some of the affordability pressures that are out there. The order of magnitude, I just -- I'll gave you a generic example, if we had a model park where the product out there was 1,800 to 2,400 feet, we’ll introduce a model in the 1,400, 1,500, 1,600 foot range, so . you're dropping your base sales price $10,000, $12,000.  Depending on where it is in the system, it may have no impact at all on margin because it's an area where the lot cost is a smaller percentage than directs, you are just lowering your directs and in turn lowering your sales price.  If it's an area where the lot cost is a much bigger percentage, it could have a minor influence on the margin, but we're not doing it in an effort to compress margins. We think it's a way to hold if not increase our sales pace, which should in turn help you on the capitalized interest side. So, there’s a lot of different levers that you pull in doing this, but we just see it as normal course in our business.
Alan Ratner: Got it, that's very helpful. Second question, I was hoping you could just comment a little bit on what you're seeing in the incentive environment. We’ve heard from one of your peers earlier that indicated they got a little bit more aggressive in their quarter and kind of alluded to the fact that they might continue to be aggressive if demand doesn't pick up in the spring. You guys are not a big spec builder, so on that front it’s not like you’ve got a lot of inventory you want to clear and you've been very focused on rebuilding that margin, but how do you think about the push and pull on incentives and volume and margin at this point?
Jeff Mezger: As you know Alan, in our business model, we focus on the best value to the customer in the price. So we are not an incentive-heavy business. I think our incentives did tick up in the quarter 30 bps year-over-year, so not a material move at all. It doesn't mean that we may not have changed our pricing structure when we open the community to a more aggressive price band when we opened it, but we try to stay out of the incentive game and get people the best price per foot for the home and let them go build their own value in the studio.
Operator: Our next question comes from the line of Stephen East with Wells Fargo. Please proceed with your question.
Stephen East: Thanks a lot. Good afternoon, guys. Jeff, maybe you can -- in your prepared remarks, you talked a lot about the community growth that you've got coming along. I guess for me, this is always the toughest thing to forecast is will they get open or not? When you sit here and look at your risks on getting these communities open, can you handicap a little bit where you are in your comfort level in getting all these open on time?
Jeff Kaminski: Stephen, I'll take that one. Yes, I think we're -- we've been pretty accurate on the community count forecast as we've done over the past number of years, actually. So we have a pretty good beat on it. The land is all controlled, obviously the ones we’re planning on opening, especially in the first part of the year development is well along the path and in some of those communities, it is just a matter of opening -- building the models and opening the community, so we're pretty confident with the community count numbers. The largest variability we usually find is on the closeouts. So a stronger pace, more closeouts, lower community count, weaker pace, you have fewer close outs. So there's more variability on that side we find than on the grand openings. Occasionally, you'll see some pushback due to the weather or other external influences, but we normally get them opened. So, we're pretty confident on the ranges we gave for the quarter and for the year on that one.
Stephen East: Okay. All right. And then you talked a lot about the demand and traffic geographically and all that. It sounded like to me Jeff, your biggest issue was your community count in the Bay Area. I guess, I was wondering this morning with Lennar, we heard a little different, probably not as optimistic. And could you talk a little bit about what was happening in Southern California in Orange County, and they had sort of indicated that they thought it was -- that slowdown was filtering into the Inland Empire. And so, there's a compare and contrast here. I guess I'm just really interested in a little bit more detail on what you think, you all are seeing in the market?
Jeff Mezger: Well, the Orange County market for us, Stephen, is a much smaller business, so we spend more time on the Bay area, because that's where we've got a very good scale. And I would say that in Orange County we did see softening. I think our average price there is in -- it's not quite a million, but it's close, and we did see some softening in Orange County. You have to assume if it's softening on the Coast it'll soften a little inland. We really didn't see it in the fourth quarter, we had a positive sales comp in both the Inland Empire and Central Cal centric outside of Sacramento it could be due to the price points that we operate in the inland areas because we stay focused in those areas on being affordable for that area and not just affordable relative to the Coast. So we'll keep an eye on it. And the reason that I -- if you go up north, the reason I spent the time I did on the Bay Area is our -- when you sell out of a community that's selling well at $1.5 million or $1.7 million and you open up a townhome community at 800 to replace it, I don't want people to think that there has been a big price drop or some big shift in the Bay area marketplace because we're not seeing it. And I would say that at the affordable price points when you get up to the high price points I think throughout the system you're seeing some softening right now.
Operator: Our next question comes from line of Nishu Sood with Deutsche Bank. Please proceed with your question.
Nishu Sood: Thank you. I wanted to ask about the share repurchases first. You folks have had some pretty opportunistic well-timed share repurchases in recent years as you've been executing your return strategy. Should we think of the 4Q share repurchases as another such opportunistic purchase? Or is it something that might continue or with the priority with the uncertainty in the market be more towards debt repayment in 2019?
Jeff Mezger: Yes, I would say it was definitely opportunistic, Nishu. As we shared in our comments when you're trading at such a discount to book at the time it was one of the best returns on investment we could make for our shareholders. Our balanced approach that we've been doing for years will continue in 2019 where we'll have a capital allocation strategy that is primarily focused on growing our business, growing our scale, growing our profitability, how do we support all that and at the same time continuing to strengthen the balance sheet. So the good news for us as we have the capacity to do all those things now, and as Jeff showed in his comments we were expecting that we'll be reducing debt to $100 million here this year as part of that approach. But we'll stay balanced in whatever is the right thing to do for our shareholders.
Nishu Sood: Got it. Second thing, ASC 606, it looks like it took some out of SG&A and I'm sorry -- out of the COGS line and put it into the SG&A line, so boost your gross margins and probably increased SG&A. Is that accounting effect just happen intra quarter or can it spread expenses across quarters. In other words is it -- would it have more of an effect later in the year or is it fairly equal quarter-by-quarter?
Jeff Kaminski:  Yes, it's a good question. I mean, there's a few dynamics related to it and right now obviously it involves all forecasting because we haven't reported an actual quarter yet. But you're effectively taking it's model expense for the most part that's the bulk of the reclassification for us. So you're taking model expenses that in the past would have been expensed on a per unit basis, right. Part of your cost to sales by on a unit basis and now you're moving those to basically fixed cost within SG&A and they follow more of an amortization schedule. So there's two things that will happen, in a low volume quarter you tend to see a little more negative on the SG&A line than you do a pickup on the gross margin side. For the year in total they should more or less balance out. So in the first quarter where it's a lower volume quarter for us typically, we're expecting to potentially see a little bit of that impact maybe 10 to 20 bps of negative on balance. But we think that should more or less net out for the year and become mostly geography.  Over time as we renew communities and open new communities under the new methodology will lose a little bit of that comparability to what it was before and what it is in the future, but for now that's kind of what we're seeing. And your observation was correct, I mean, that was a big driver of the lift in the gross margin and the -- also the higher SG&A costs in our first quarter guidance.
Operator: Our next question comes from the line of Stephen Kim with Evercore ISI. Please proceed with your question. 
Christopher Shook: Hi. This is actually, Chris Shook, on for Steve. So during the course you increased your land spend 13% year-over-year. Was this number held back compared to what you were initially thinking? And also what kind of level of land spend should we think about directionally this year?
Jeff Kaminski: I mean, just like the rest of the full year, we really stopped guiding on full year land spend, I think a couple of years ago now. Because what we do as an alternative is we review deals on item by item basis every single deal gets reviewed and we know where our cash flow capability is and what we have coming in the operating side and then we make decisions on that basis. So you see typical variability in our land spend. It mostly just relates to deal timing. When the deals are improved when you're ready to close a lot of the deals that we tie up are -- have contingent closings on certain things that the seller has to do either entitlement related or in some cases development related before we close. So it's more a function of just timing than anything.
Christopher Shook: Okay. Is it still within the kind of one to two year lifespan that you previously cited?
Jeff Kaminski: Yes. So, I mean, what we like to do is we'd like to see all of our deals actually come to market and start producing revenues within one year if possible. Some of the development deals may go out a little further than that, but we try to keep that pretty tight. It tends to drive the best returns when you can do that.
Christopher Shook: Got it. And given the recent softening, have you seen any kind of degradational inland prices or are people still out at bidding?
Jeff Kaminski: It's a mix bag depending on which city you're in. We've seen a little bit of softening. Nothing significant yet. Land sellers are pretty patient right now. And we're being patient with them. We have all the lots we need for 2019 and most of 2020 so we can take our time and only do deals that make sense and hit our strategy and hit our returns.
Operator: Our next question comes from the line of John Lovallo with Bank of America Merrill Lynch. Please proceed with your question. 
John Lovallo: Hey, guys. Thank you for taking my question. The first one is, Jeff, I think you mentioned that orders -- Jeff Mezger, I think you mentioned that orders in December were down 15% year-over-year also the toughest comp. Can you just remind us what December, January and February comps were?
Jeff Mezger: Yes. We really typically don't go out with monthly numbers. I mean, we just provide quarterly, Jeff want to provide a little bit of color on December to give a feel for the comp we were up against last year. But none of us going to comment any further on January. 
Jeff Kaminski: Yes. And we shared December because we have a full month. It is the softest time of the year. So the comps to me really don't suggest anything on market trends. Because the numbers are so small. But as I shared in the prepared remarks, the traffic levels held steady. And people are out there looking for homes. And where January, we're just barely into, one week into and it's a holiday week. So you don't want to get into that data, because it again is distorted, but so far we're encouraged with what's going on in January with our traffic and where the market is headed.
John Lovallo: Okay. And then maybe just dovetailing off to that in terms of the traffic being pretty steady. I mean, have you seen maybe the quality of that traffic improving more recently?
Jeff Mezger: I don't know that we can say that. Again it's anecdotal. I think our traffic was solid in December and it was followed in the fourth quarter and it's a good quality buyer. They're just kind of pausing to see if prices are going up, going down or rates going up or going down. It's a good time to buy a home or not. And they've just paused a bit. So we're hopeful here as we head into the New Year and interest rates have come down that they see it's a great time to buy a house and they make their decisions quicker.
Operator: Our next question comes from the line of Mike Dahl with RBC Capital Markets. Please proceed with your question.
Mike Dahl: Hi, thanks for taking my questions. Jeff, I had a follow up to Nishu’s question on the reclassification. Can you -- is there a way for you to give us on your 2018 results if you had applied this change? What that would have done to gross margins and SG&A.
Jeff Kaminski: I guess, I'd rather talk about the first quarter because we've done a little bit more work on the first quarter. And obviously on the full year, which we won't talk about that. Round about right now you could look at the gross margin line and say I think it's going to be at least a 50 basis point uptick for the first quarter on the gross margin line and probably closer to 70 basis points in the SG&A line. That's as near as we could tell right now. We could provide you guys more detail on that as the actual results come in, but like I said earlier we will lose a little bit of visibility to it on a particular on the gross margin side as we go deeper into the year because we'll know the reclassification into SG&A, but it disappears right out of the cost of sales. And every time you open a new community you don’t go and recount what would it have been on the costs of sales side. But I think in round numbers that probably gets you pretty close. And I don't think 2018 probably varies much from it.
Mike Dahl: Okay. Asked a slightly different way than just specific to 1Q, is that the only part that changed in your gross margin guide versus the 16% to 16.6%? 
Jeff Kaminski: I think we listed it 60 bit, so there was a little bit of mix and other factors maybe to the extent of 10 basis points or so. That was the bulk of the rise.
Mike Dahl: Okay. My second question is also circling back to, I think, kind of around what Alan and Steve were asking about earlier on some of the repositioning, but also the community count. And I forget if this came up in November, but when you're going to introduce these new smaller models, I think you called it existing floor plans, are these plans that have already been permitted for these communities or other instances where you're having to kind of push out a community opening because you have to go through any sort of re-permitting activities?
Jeff Mezger: It's a little bit of both, Mike, we have a product series that will have a broad range of footage. We get all the plans designed and introduced for that community and we'll get the planned check done on the whole series. But to go back in and get a permit dependent on the city may take a couple days or it could take a couple months depending on where you're at. We actually have delayed a couple of openings to retool where we decided, let’s rethink the product here and may have been a month or two delay, and that's we've already absorbed that and we're off and running. And what -- as I was walking through it in the comments, part of the message is this product is already done. We didn't have to go recreate anything, we could take it from our system. We move it from one city to another. We already know the take-offs, we already know what the buyers like and don't like and it's a plug and play environment. So we are able to move pretty quickly and our goal is to have everything out there here in the first quarter.
Mike Dahl: Okay. That's helpful. Thanks, Jeff.
Operator: Our next question comes from the line of Michael Rehaut with JP Morgan. Please state with your question. 
Michael Rehaut: Thanks. Good afternoon, everyone. First question, I just wanted to without trying to beat a dead horse on the slowest month of the year. It is obviously a lot of focus earlier in the day around your competitor's comments around the trends in December. If I heard you right, you basically were saying traffic was steady in December, in other words, no real change relative to November. And I presume that that there was also no change in incentives as a result.  So I'm just trying to get a sense obviously every company is different. But the optimism around the earlier statements was that the decline in interest rates that kind of occurred throughout the month did have some type of impact. Are you surprised that it didn't show up in at least the traffic numbers that you saw during the quarter or were there any other kind of signs that perhaps the tone did change or if it didn't why you think it might not have?
Jeff Mezger: Okay. Michael, let me correct something for you, the traffic I was referring to was year-over-year. So our December year-over-year was as solid as it was in both years and same in the fourth quarter. Our overall traffic levels are lower in December than they are in November stands to reason with the holiday period. And December for us we're open for business, we'll take every sale we can, we're not going to go chase the business. So if somebody across the street throws out incentives or whatever, we're not going to react in December because it's a very inelastic time of the year. So our sales or our sales and I don't always view December it's really not a reflection on the market. You like the sales you get, but it's December. So as we come into January it's more critical to us especially now as the sales rate starts picking up week over week and you get into the selling season. It's a far better gauge of what's really going on out there. And I think as interest rate tick down was late in December so I don't know it would have influenced your December traffic anyway. In January, as I shared we're encouraged with what we've seen, but it's only a six or seven day period because you had the New Year's holiday in there. So we'll -- we're encouraged and hopeful and we like our position as things light up here in January.
Michael Rehaut: Fair enough, Jeff, I appreciate that. I guess, secondly just pointing clarification, you'd mentioned that in the Inland Empire sales were up year-over-year. I just wanted to make sure was that just overall orders or also sales per community for the quarter?
Jeff Mezger: Both. 
Michael Rehaut: Both, it was great. 
Operator: Our next question comes from the line of Jack Micenko with SIG. Please proceed you’re your question. 
Soham Bhosale: Good afternoon, everyone. This is Soham Bhosale, on for Jack today. So my first question was on gross margin and I know you're not providing guidance there, but maybe can you just talk through if your views have changed in any way on the organic leverage that you guys can pull to drive that higher year-over-year and maybe just comment on the better lumber pricing. When does that flow into gross margin this year?
Jeff Kaminski: Yes, I could give you some pluses and minuses I guess for the years as we look at it. I'll start on the negative side, so I could end on the positive side. On the headwind side, it's the typical headwinds we've been seeing. I mean, you have potential material and contracted labor cost increases. So the inflation side is a bit unknown right now and it's been a headwind for several years now offset by pricing. But that still exist out there. We have and expect to see a little bit of mix shift in the first quarter that could go a bit negative on us as we're trying to rebuild community count particularly in our Northern California business, we do believe that’ll correct as re-stabilize as we get later in the year and get some those communities open, but that will likely be a headwind early on and we did corporate that into our first quarter guidance of course. And then there's a question mark on pricing power. Typically you see pretty strong pricing power at least we have seen it over the past several years, particularly during the spring selling season. If conditions remain choppy we'll see what we can take out of that if they strengthen and if the mortgage rate environment and the buyers come back strong that could turn a potential headwind into a tailwind for us. So that one's kind of in between. On the positive side, absolutely right on the lumber pricing, we've seen lumber prices come down pretty dramatically. We don't think we'll see much of that in the first quarter because we had most of those homes framed why we were still on our 13 week look back because we do average pricing on lumber, but that is a potential tailwind for us later in the year. Two other pretty significant tailwinds for us, one is the re-class obviously the 606 on it's a tailwind to margin and offset for the most part in the SG&A line. So that will be a factor on our overall GAAP gross margins in 2019. And then finally fairly significantly we expect to continue to enjoy the benefit from our balance sheet strengthening and in the form of lower interest amortization. We're expecting a pickup of a minimum of 50 basis points for the full year and lower interest amortization and the impact that will have on margins. So that's there for us as well. So on balance those are sort of the pluses and minuses and things to consider I think as you look at our full year.
Soham Bhosale: So I just wanted to see in the prior guidance that you guys provided, did you bake in any level of incentives or was that just all organic?
Jeff Kaminski: To the extent, well again we're not a big incentive company, I mean, our incentives are typically less than a point. So they fluctuated probably this is our largest fluctuations we've seen in a quarter, which is 30 basis points in the fourth quarter. So I would say there probably wasn't much of that baked in, in the upcoming year, [inaudible] price increased either.
Operator: Our next question comes from the line of Jay McCanless with Wedbush Securities. Please proceed with your question.
Jay McCanless: Hey, good afternoon guys. Thanks for taking my question. The first one I had, if we look back at 2018, the average backlog price declined fairly steadily each quarter through the year, but your average closing price held in, in a pretty tight range. And I know you all basically I think maintain the ASP, the average closing price guidance for 1Q, 2019. But at some point with you all going to a lower mix shift with your average backlog price coming down. Should we expect a gap down in prices? And if so is that a one quarter event, two quarter event? How are you all thinking about that?
Jeff Kaminski: Yeah as you were tracking it through the backlog for last year that the largest impact on that was really community count in some of the high price markets particularly the Bay area. That was the number one driver on the decline. So, again, we baked it into the guidance for the first quarter and we would contemplate it for the full year. We don't think we'll see ASP increase to the extent. I mean, look, the strategy of going smaller square footage and some of the mix shift that we have gone on the business, we think the ASP growth that we've seen in prior years is probably not in the cards at the same level as we've seen in the past. But it's not really a reflection of base market price.
Jay McCanless: Okay. The second question I had was…
Jeff Kaminski: So Jay, let me let me pick a couple of clarifying comments on that. I gave you the generic example of 1,800 to 2,400 now we come in with a 1,400 or 1,500 foot model or plan. It doesn't mean that the old plans aren't still available. And we call it moving with demand. If interest rates were to tick up and that's all a buyer can afford they may shift to a smaller plan. And if they do, you also have movement in how much they spend in the studio. So they may shift to a smaller plan, but spend more in the studio and your ASP could actually end up flat. We don't know. So it's an insurance policy for us, but it's not like we're moving we've taken away these other plans. So if interest rates stay down the buyer comes back like they were last year. They can still go right back to the larger plan and spend whatever they can afford in the studio. We're sharing it because it's a strategic move to insulate ourselves better if interest rates tick up understood.
Jay McCanless: Understood. And then on my second question, encouraged to hear that the community counts going to be moving up in several markets. But given the timing that you guys have talked about, can we expect any of these newer community openings to be a real earnings tailwind for 2019, or is this mostly just going to help out on the order side with most of the earnings growth coming in 2020?
Jeff Kaminski: No, I think to the extent we have a pretty good chunk of things in the first half of the year. We should see definite earnings coming off those communities in the back half. Typically first quarter openings are producing some revenue in the second quarter, but pretty solid revenues in the third and fourth quarter for sure. So, yes, we'll see some of it in 2019.
Operator: Our next question comes from line of Matthew Bouley with Barclays. Please proceed with your question. 
Matthew Bully: Hi. Thank you for taking my questions. I wanted to ask about the reactivated communities. So just given what we're seeing in the market kind of the deceleration in the broader market. Does that perhaps kind of change any thoughts around the reactivated communities? Is there any, I guess, additional sensitivity to what you'd be seeing in the market in these particular communities that would manifest in margins or sales pace? And if so would there be, I guess any flexibility around future openings of these communities? Thank you.
Jeff Kaminski: Yes, in which direction are you thinking more opening more opening less?
Matthew Bully: I'll leave that up to you. 
Jeff Kaminski: Okay. Yes, I would say we're staying consistent in our strategy around the inactive assets. We're fairly aggressively opening communities. I mean, the fact right now is that within our inactive inventory the bulk of it we already have communities opened and they are basically next phases of currently open communities. So to the extent the market continues and we continue to sell and deliver out of those communities we're just naturally move into future phases of those communities. And the handful of communities that have yet to be opened or where we never opened to single phase, we continue to work in some of those communities on the entitlement efforts and some of those communities in development efforts. And we continue -- we expect to continue with the strategy. I mean, we were very successful in 2018 and reduced our inactive inventory by $140 million. And it's had a very significant impact on the company mainly in the form of cash flow and incremental margin. So we like the results of the strategy and we'll continue as long as the markets are to support it. Everything subject to market conditions, but we don't at this point see anything in the market conditions that would suggest that we change our strategy.
Matthew Bouley: Okay, appreciate that color. And then secondly, just following up on the questions around the repositioning maybe asked a bit of a different way, have you actually made the square footage offerings on a meaningful scale in any of your existing communities? And if so, could you provide I guess so far what if any impact you've seen, any kind of tangible effects on sales pace with those products or perhaps on the margin side thus far? Thank you.
Jeff Mezger: Matthew, we're still -- we're early in the rollout. We have introduced the product as a finished and decorative model in communities, different footages in different city. They are selling well and if you think about it it's part of the challenge is in smaller footage offer the same livability, three bedroom into three bedroom, great room to great room, not size of a kitchen. And we work hard in the smaller footages to get rid of dead space and wasted space so they live as well. And we are seeing the consumer respond to it. So it's early fill and we like the initiative and we think we can really help our business.
Operator: Our final question comes from the line of Jade Rahmani with KBW. Please proceed with your question. 
Jade Rahmani: Thanks very much. Just in terms of land spend, can you give any color on what you're spending on average per lot currently? Or otherwise since it varies by market maybe indicate what the percentages of ASP and if that's changed at all from a year ago?
Jeff Kaminski: Yes. I don't have those stats right on hand, but I mean you can calc. You could see our lot changed particularly when the 10-K comes out, you could see the change in lots and the spend on new communities or our new land -- land acquisition. But yes, I apologize, I don't have those numbers on hand here. 
Jade Rahmani: Do you have any color on what drove the impairment in the quarter?
Jeff Kaminski: There was a small handful of community. There was part of the total inventory related charged almost $1 million it was just abandonments of land deals that we had in the pipeline that we decided when either meet our hurdle requirements or there were other risk factors associated with it, I think we had 10 abandonments that were booked in the community in the quarter and we had about five impairments kind of spread across the business.
Jade Rahmani: Okay. And just lastly did you contemplating any change in spec strategy?
Jeff Mezger: Spec on the inventory. 
Jade Rahmani: Yes. You plan to build more specs in order to drive volume.
Jeff Mezger: No, our inventory homes are the toughest homes for us to sell. We believe in built order. We've done it for 20 years. We think it's the right way to go and we'll continue to reinforce those values.
Operator: Ladies and gentlemen, this concludes today's teleconference. Thank you for your participation. You may now disconnect your lines.